Operator: Good afternoon. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Celestica Incorporated Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Manny Panesar, Director of Investor Relations, you may begin your conference.
Manny Panesar: Thank you, Kelly. Good afternoon and thank you for joining us on Celestica's Third Quarter of 2014 Earnings Conference Call. On the call today are Craig Muhlhauser, President and Chief Executive Officer and Darren Myers, Chief Financial Officer. This conference call will last approximately 45 minutes. Darren and Craig will provide some brief comments on the quarter, and then we will open the call for questions. During the Q&A session please limit yourself to one question and a brief follow-up. We will be available after the conference call for additional follow-up. Copies of the supporting slides accompanying this webcast can be viewed at www.celestica.com. As a reminder, during this call, we make forward-looking statements related to our future growth, trends in our industry, our intentions concerning the return of cash to our shareholders, our financial and operational results and performance, and financial guidance that are based on current expectations, forecasts and assumptions that involve risks and uncertainties that could cause actual outcomes and results to differ materially. We also refer you to our cautionary statements regarding forward-looking information in the company's various public filings, including the Safe Harbor Statement in today's press release. We refer you to the company's various public filings which contain and identify material factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements and which discuss material factors and assumptions on which such forward-looking statements are based. These filings include our annual report on Form 20-F and subsequent reports on Form 6-K filed with the Securities and Exchange Commission. And our annual information form filed with the Canadian Securities Administrators, which can be accessed, respectively, at sec.gov and sedar.com. During this call, we will refer to certain non-IFRS financial measures, which include adjusted gross margin, adjusted SG&A, operating profit or adjusted EBIAT, operating margin, adjusted net earnings, adjusted EPS, return on invested capital or ROIC, inventory turns, cash cycle days and free cash flow. These non-IFRS measures do not have any standardized meaning under IFRS and may not be comparable with other non-GAAP or non-IFRS financial measures presented by our other public companies, including our major competitors. We refer you to today's press release, which is available at celestica.com for more information about these and certain other non-IFRS measures, including a reconciliation of the historical non-IFRS measures to the corresponding IFRS measures, where a comparable IFRS measure exists. Unless otherwise specified, all reference to dollars in this call is to U.S. dollars. I will now turn the call over to Darren Myers.
Darren Myers: Thank you Manny and good afternoon everyone. Celestica delivered solid operating results in the third quarter with strong operating margins and free cash flow performance despite revenue surplus primarily from our communications end market. Third quarter revenue of $1.423 billion was at the lower end of our guidance range of $1.4 billion to $1.5 billion. Third quarter revenue decreased 3% compared with the second quarter of 2014 and decreased 5% compared with the third quarter of 2013. Some highlights for the third quarter include: Non-IFRS operating margin of 3.9% improved 70 basis points compared with the third quarter of 2013. IFRS net earnings of $34.4 million or $0.19 per share. Non-IFRS adjusted earnings per share of $0.26 or $0.02 above the midpoint of our guidance range. We generated $93 million of non-IFRS free cash flow and we delivered 21% non-IFRS return on invested capital. Looking at revenue from an end market perspective, relative to our beginning of quarter expectations we experienced demand softness from our communications end market while revenue performance from our other end markets was generally as expected. Our diversified end markets comprised 29% of our total revenue for the quarter, an increase of 1 percentage point from the second quarter and up from 26% in the third quarter of 2013. Diversified revenue was up 2% sequentially led by growth in our industrial business. Compared with the third quarter of 2013 diversified revenue grew 7% driven by new programs across our industrial, semi conductor, and aerospace and defense businesses. Revenue from our communications end market represented 40% of total revenue. Communications revenue decreased 5% from the second quarter as revenue in the third quarter came in lower than expected with reduced demand from certain key customers. Compared with the third quarter of 2013, communications revenue declined 15%, primarily due to demand weakness in the Japan market and certain program completions related to the telecom build outs for the North American carrier market in the third quarter of this year. Storage revenue representing 17% of total was relatively flat on a sequential basis as expected. Storage revenue grew 18% compared to the third quarter of 2013 primarily due to new programs we launched in the first half of 2014. Third quarter revenue from our server end market representing 9% of total revenue, decreased 10% compared to the second quarter which was consistent with our expectations. Server revenue decreased 7% compared with the third quarter of 2013 mainly due to the in-sourcing of a lower-margin assembly program that we have previously disclosed. And finally, our consumer end market, representing 5% of total third quarter revenue decreased 14% on a sequential basis and decreased 25% compared with the third quarter of 2013, primarily due to program completions and the de-emphasis of certain lower-margin business in our consumer business. Our top 10 customers represented 65% of revenue for the third quarter, up 1 percentage point from the second quarter and unchanged compared with the third quarter of 2013. For the third quarter, we had 3 customers individually contributing greater than 10% of total revenue. Moving on to some of the other financial highlights for the quarter, non-IFRS adjusted gross margin of 7.6% in the third quarter increased 30 basis points on a sequential basis as a result of our strong execution, favorable program mix, and net benefit from provisions. Non-IFRS adjusted SG&A expense for the quarter was $47 million, which was lower than our expected range of $49 million to $51 million mainly due to the timing of certain spend and a foreign exchange gain recognized in the quarter. Non-IFRS adjusted operating profit or adjusted EBIAT was $56 million or 3.9% of revenue, an increase 40 basis points sequentially as a result of the strong operating results and lower SG&A. Compared with the third quarter of 2013, despite lower revenue, adjusted operating profit increased 17%, and adjusted operating margin increased 70 basis points, driven primarily by improved program mix and cost productivity. Our adjusted tax rate in the third quarter was 14.4%, slightly higher than our expected annual range of 10% to 12%, as the results of the geographical mix of our earnings during the period. Third quarter IFRS net earnings were $34.4 million or $0.19 per share. Net earnings for the third quarter of 2014 were $23 million lower compared to the same period last year, primarily due to legal settlement recoveries recorded in the third quarter of 2013. Non-IFRS adjusted net earnings for the third quarter were $47.2 million or $0.26 per share compared to $41.5 million or $0.22 per share for the same period of 2013. Turning to working capital performance, our inventory decreased by $7 million from the end of the second quarter to $775 million at September 30th. Inventory turns for the third quarter were 6.8 turns unchanged from the second quarter. Capital expenditures for the third quarter were approximately $10 million or 0.7% of revenue. Capital expenditures in the third quarter were lower than our expectations of 1% to 1.5% of revenue mainly due to timing. Year-to-date our capital expenditures are 1.1% of revenue. Cash cycle for the third quarter was 45 days, 1 day higher compared with the second quarter. For the third quarter, we generated $93 million of free cash flow. The strong free cash flow was mainly due to improved working capital performance and lower capital expenditures. Moving on to our cash position, our cash balance increased $59 million from the end of the second quarter to $578 million at September 30th. At the end of third quarter we did not have any outstanding debt and our credit facility remains undrawn. As an update to our share repurchases, in August 2014 we completed our normal course issuer bid program that we launched in 2013. In September 2014, the Toronto Stock Exchange accepted our notice to launch a new normal course issuer bid which allows us to repurchase for cancellation at our discretion during the following 12 months up to approximately 10 million subordinated voting shares representing approximately 5.8% of our total outstanding shares. During the quarter we repurchased for cancellation 2.4 million shares at a weighted average share price of $11.51. Of the 2.4 million repurchased in the third quarter, 1 million shares were repurchased for $11 million in the third quarter and 1.4 million shares were funded from the $17 million program share repurchase or PSR in the second quarter. In addition, we repurchased 2.2 million shares for $24 million for the future settlement of stock based compensation. At the end of the third quarter, we had 176.7 million subordinate and multiple voting shares outstanding. Moving forward to our guidance for the fourth quarter of 2014. For the fourth quarter, we are projecting revenue to be in the range of $1.375 billion to $1.475 billion. At the midpoint, fourth quarter revenue is expected to be relatively flat sequentially and decrease 1% compared to the fourth quarter of 2013. At the midpoint of our guidance, we expect to deliver non-IFRS adjusted operating margin of approximately 3.5%, an improvement of 20 basis points compared to the fourth quarter of 2013. Fourth quarter non-IFRS adjusted earnings are expected to range from $0.21 to $0.20 per share. Our non-IFRS adjusted SG&A expense for the fourth quarter is projected in the range of $49 million to $51 million. For the fourth quarter we expect an adjusted tax rate of 10% to 12%. I would now like to turn over the call to Craig for some comments on the business
Craig Muhlhauser: Thank you, Darren and good afternoon to everyone on the call, and thank you for joining us today. Celestica continued to deliver improvements in operating margin, return on invested capital, and free cash flow in the third quarter, despite lower than forecast demand, primarily in our communications end market. Overall our operational performance remains very strong as we successfully managed through a challenging business environment. We continue to strengthen our balance sheet and generate free cash flow. We remain committed to plans for returning value to our shareholders, through share repurchases while continuing to use a disciplined approach to carefully evaluate a range of strategic alternatives for capital deployment, in order to accelerate our revenue growth and diversification. To provide additional perspective on our end markets, for the fourth quarter we are expecting year-over-year growth in our diversified business. However, on a sequential basis, we are expecting revenue from diversified end markets to decline in the mid single digit percentages. While we continue to launch new programs across diversified end markets, fourth quarter revenue in our diversified business is expected to be impacted in part by seasonality, the timing of new programs ramps, and the shift of a portion of our solar business from turnkey to a consignment model. In our semiconductor business, we continued our efforts to accelerate the improvements in operational performance, ramp new programs, and improve cost productivity in the third quarter. As forecasted, our semiconductor revenue in the third quarter grew modestly on a sequential basis and in the double-digits year-over-year. As a result of the actions that we are taking to improve the operational and financial performance of our semiconductor business, the losses in the third quarter decreased sequentially by $2 million resulting in an overall loss of $2 million at the gross profit level. Consistent with our remarks during the July conference call, we expect to incur operating loss for the balance of the year in our semiconductor business, as we continue to ramp new programs, absorb excess capacity, and drive further operational and commercial improvements. Although, we believe we are making progress, significant and sustained effort will be required in order to achieve our targeted levels of operational and financial performance. For the fourth quarter we expect semiconductor revenue to remain relatively flat on a sequential basis. In our communications end market, we expect revenue to increase in the low single-digits compared to the third quarter with increases in enterprise and networking partially offset by continuing weakness in our telecom business. Our storage business continues to be very strong and we are expecting double-digit growth in the fourth quarter, both on a sequential basis, as well as compared to the fourth quarter of 2013, driven by new programs with current and new customers. While overall server end market demand in the proprietary space continues to be challenging, our server revenue is expected to grow sequentially in the mid single-digit percentages, in part due to seasonality and a new program launch with a current customer. And finally in our consumer business, we expect revenue to decline double-digits sequentially in the fourth quarter as we continue to rationalize our customer portfolio and deemphasize the lower margin business. Overall demand strengthened and our end markets continues to be volatile, with an increasing uncertain global economic environment. While we are projecting sequential revenue increases in three of our five end markets, overall fourth quarter revenue is expected to remain relatively flat at the mid-point of our guidance range. Despite this environment we are working to achieve continuous improvements in our quality, cost productivity, cycle time and delivery performance while investing in developing and delivering unique end to end supply chain solutions to accelerate our diversification. During the third quarter, we are pleased to be recognized by two of our largest customers Cisco and EMC. We are awarded supplier of the year from EMC for the second consecutive year. As well as EMS Partner of the year award from Cisco. This recognition is a further proof point of our employees passion to achieve industry leading operational excellence and innovation and support of our customers and our inspirational goal to be respected as a highly valued and trusted partner with industry leaders in our target markets. In summary our third quarter results and fourth quarter guidance at the mid-point imply year-over-year adjusted operating profit and margin increases despite lower revenue. Our year-over-year improvements and operating results have been driven by diversification of our revenue base, higher value added services, and our continued focus on achieving higher quality, increased speed, and improved cost productivity across all areas of the company. Consistent with our strategy to accelerate the diversification of our revenue mix and customer portfolio, we continue to make specific decisions to strengthen our customer portfolio, particularly by deemphasizing EMS manufacturing in our consumer end market and by exiting lower margin programs. These decisions have contributed to the higher operating margins this year despite the lower overall revenue as a result of improved revenue mix in our target markets. We continue to focus our priorities, our resources, and investments to diversify our revenue base and customer portfolio, and accelerate the new business wins and revenue realization with current and new customers. We continue to be encouraged by our new business wins across all areas of our business and are currently forecasting strong bookings in the fourth quarter of 2014. We remain focused on our key priorities including delivering on our commitments to our customers, while continuously improving our quality, our cost productivity, delivery performance, and speed-to-outcome across the business. By accelerating the penetration of our JDM solutions across our customers and end markets. By the securing the near-term, long-term growth opportunities across target markets. By accelerating our operational and financial improvements in our semiconductor business. By flawlessly launching new programs and on boarding of new customers and reducing the time to target revenue and operating margin. By continuing to improve our working capital performance in increasing our asset velocity and continuing to leverage information, technology, and analytical tools to drive simplicity and cost productivity throughout our company. We believe our focus in these areas will further enhance our financial results while generating continued value for our customers and our shareholders. And before we conclude our formal remarks I want to mention that we also issued a press release this afternoon announcing that I have informed our Board of Directors of my intent to retire as an Officer and Director of the company by the end of 2015. Celestica has a strong leadership team and a talented and dedicated team of employees and together we have significantly strengthened the company's position in the eyes of our customers, our employees, and our shareholders. It is with this positive momentum I believe it is a good time to begin the transition to new leadership. I am very much looking forward to continuing my role as CEO over the next year and working with the Board to ensure a smooth and successful transition. The Board of Directors has formed a committee and engaged Spencer Stuart to support a comprehensive search process considering both external and internal candidates. That concludes our prepared remarks. Kelly, please open the call for questions.
Operator: (Operator Instructions). Your first question comes from the line of Joe Wittine from Longbow Research. Your line is open.
Joseph Wittine - Longbow Research LLC: Hi, thanks. Craig, congrats on the upcoming retirements, although…
Craig Muhlhauser: Thank you very much.
Joseph Wittine - Longbow Research LLC: Although I guess I am congratulating you too early here.
Craig Muhlhauser: Yes, much too early.
Joseph Wittine - Longbow Research LLC: Yeah, what to do. So, first question in telecom, could you give any further details on the weakness you are seeing in wireless. In your prepared remarks you mentioned Japan and I think U.S. carriers as at least driving the year-over-year change, so are there any other regional details to point out and maybe you could delve into what has changed relative to 90 days ago?
Craig Muhlhauser: Joe, it is primarily program build outs and the impact of our market weakness in Japan.
Joseph Wittine - Longbow Research LLC: So build outs, I mean is it fair to say where they pulled out faster than what we were expecting 90 days ago or not necessarily, these were kind of expected wind down?
Craig Muhlhauser: These were expected wind downs.
Darren Myers: It is also the strength last year of those builds.
Craig Muhlhauser: Yes, we had accelerated build outs and these are the wind down but in general it was expected.
Joseph Wittine - Longbow Research LLC: Okay, and maybe shifting gears to traditional hardware and storage. I am assuming you have seen the hard drive vendors and they are kind of growing aspirations toward assembling systems. It seems mostly like they are targeting to wipe out market but there are also some hints that traditional storage OEMs could potentially move some business to them especially some very densely populated array. So your storage business seems to be trending really well based on the EMC Award etc. but I am curious if you heard anything along these lines from your customer base and your thoughts on this trend and how it can play out?
Craig Muhlhauser: Well we think we have got a broad portfolio of JDM offerings which is relevant to some of the changes that you have mentioned in some of disk drive suppliers that are looking at alternatives. So we have a very strong portfolio through power packaging, cooling of some really exciting options that could offer them some advantages as well. So we are still bullish on our relevance as these market changes continue to take place. You know I would say there are also similar trends as you would know in the flash business. So they are very bullish. We have got a portfolio, we have got a strategy, we got an execution machine, I think we are very bullish on the storage opportunity of Celestica.
Joseph Wittine - Longbow Research LLC: Okay, thanks a lot and one more quickly if I could, I think you glazed over, I think you said you are evaluating new methods of capital deployment. If you could just dig a little bit further into that as far as what you are considering if I heard that right?
Darren Myers: Yeah Joe, just in terms of really accelerating our investments in the business and as well looking at potentially more aggressive buybacks and so the focus on the investments and the business is really on diversification of the company and seeing how we can put the cash to use. And the other alternative of course is to be more aggressive on the buy backs.
Joseph Wittine - Longbow Research LLC: Thanks a lot.
Craig Muhlhauser: Thank you Joe.
Operator: Your next question comes from the line of Sherri Scribner of Deutsche Bank. Your line is open.
Sherri Scribner - Deutsche Bank AG: Hi, thank you. Just looking at the operating margin performance, very impressive, be it your typical -- I think you have said in the past that at $1.5 billion type of quarterly number you should be hitting a 3.5% operating margin, you guys were well ahead of that. Can you give us some detail on what helped drive that performance; was it mix, was it the improvements in the semi business, just a little more detail on how, what drove that and also how sustainable that is?
Darren Myers: Absolutely and good afternoon Sherri. It was as great quarter for an operating margin perspective. We saw both in the gross margin and in the SG&A and I would say Sherri, it really was a number of things. It was mix, it was recoveries, little bit of help from provisions, some spend deferrals, a little bit of the FX. So it was a little bit of everything going one way and generating a very strong quarter from all the actions that we had in place. ` I think as you look forward, I mean we are certainly pleased that and you can see in our guidance we are 3.5% at the mid-point, that is at 14.25 of revenue. So we are pleased with the progress we have made and the ability to drop the water level you could say from 1.5 down to the mid 1400s at this point. So you don’t continue to look for further opportunities and obviously there is a lot of mix involved and a lot of assumption but as we can get semiconductor better, improve semiconductor we can keep working on that.
Sherri Scribner - Deutsche Bank AG: And how much does the strengthening of the U.S. dollar help you?
Craig Muhlhauser: I would say generally I mean it helps us somewhat with some of our local labor spend but nothing material at this point.
Sherri Scribner - Deutsche Bank AG: Okay, and just quickly on the communications segment with weakness in telecom and networking being a bit better, what is your mix of business within that segment between networking and telecom, thanks?
Craig Muhlhauser: Yeah, sure we are not breaking that out at this time. It is mostly on the networking. It is more on the networking side than on the telecom side.
Sherri Scribner - Deutsche Bank AG: Okay, thanks.
Craig Muhlhauser: Thank you. Operator Your next question comes from the line of Matt Sheerin of Stifel. Your line is open.
Matt Sheerin - Stifel Nicolaus: Yes, thank you. Just another question regarding the semiconductor capital business. I mean, you talked about a $2 million delta between to get you to breakeven, what will get you to EBIT margin that the company level or around 4%, are we talking about the volume growth in order to get leverage or you are also looking at additional cost coming out and will that get you there?
Craig Muhlhauser: So Matt, good afternoon, Craig here. It is the combination of volume growth, cost productivity and then basically working on the commercial pricing for the products that we are producing.
Matt Sheerin - Stifel Nicolaus: Okay, and beyond the next quarter which seems flattish, what is your outlook there for that business particularly given signs that the semi cycle, if not at peak levels is certainly still relatively volatile?
Craig Muhlhauser: It is really customer specific. I mean we have been successful in securing a number of new customers in semi so it is going to be the culmination of the mix of those customers and their success. The timing of programs ramps with their customers and then I think right now our visibility is limited to the fourth quarter. We hear various scenarios for next year but it is a little too early for us to I will say prognosticate on what exactly is going to happen at this point.
Matt Sheerin - Stifel Nicolaus: Okay, and then regarding your consumer business, the pruning of the business focusing on more profitable segments certainly makes sense but could you tell us what's basically going to be left of that business, the type of projects that you are doing, end markets and do you see that as a growth sector or just a segment that you will manage through profitability?
Craig Muhlhauser: Well, we have selective growth opportunities and servicing various products in the aftermarket space. And we have I would say a major program in the area of supplies for one of the major companies in the printer space. So it is aftermarket related. I would say it is relatively stable once we get -- trading some of the manufacturing, OEM manufacturing programs we have got. But the number is not material on the overall revenue side but some of the short term variances are to the overall growth of the company in terms of the…
Matt Sheerin - Stifel Nicolaus: I think they are primarily on the logistic side and not so much on the assembly?
Craig Muhlhauser: It is logistics, there is some LCD repair, there is some product management if you are aware of quality assurance on some of the consumer product side and then basically on the supply side. So, those types of areas and a bit on the repair and return area.
Matt Sheerin - Stifel Nicolaus: Okay, alright. Thanks a lot.
Craig Muhlhauser: You bet.
Darren Myers: Thanks Matt.
Operator: Your next question comes from the line of Amit Daryanani from RBC Capital Markets. Your line is open.
Amit Daryanani - RBC Capital Markets: Thanks, good afternoon guys. Couple of questions, I guess just on the communications segment, you know, 90 days ago you guys talked about the segment being done mid single digits due to these two issues you are mentioning which is program build outs and continued weakness in Japan. I am curious, what led to the 2x softness in the market. It seems like things got worse than those two issues you are citing, could you maybe just talk with what else was or had been worse which you talked 90 days ago?
Craig Muhlhauser: I mean, we had -- it was late in the quarter and we had a number of at least a couple of customers one of which preannounced on the impact on their business. But it was late in the quarter, demand declines with certain customers and the softness in the service provider market.
Amit Daryanani - RBC Capital Markets: And then I guess it is fairly centered around Telco, CAPEX centric customers versus more enterprise and networking, I think that what was implied in your December guide at least, right?
Craig Muhlhauser: Yes, that was the situation Amit which is a little bit more extreme than we anticipated.
Amit Daryanani - RBC Capital Markets: Fair enough. And then maybe I missed a spot but what led to the OPEX to be down a whole lot more than you guys are thinking at $41 million. I think we were hoping for $49 million or something around there and you mentioned FX benefits that helped OPEX, can you just walk through what helped the OPEX and was FX a driver in that at all?
Darren Myers: Yeah Amit, in terms of our SG&A it was $49 million to $51 million was our guidance, we came in at $46.7 million. So it was a combination of just reduced spend, some of that being deferrals and as well as just under a million dollars of FX gains. So we did get some help there and then we are guiding $49 million to $51 million so back to normalized levels for the fourth quarter.
Amit Daryanani - RBC Capital Markets: Got it, that's helpful. And I guess just finally Craig, I was looking through my model and it struck me that if you hit the midpoint of your guide for December it would be the 13th quarter of year-over-year revenue declines for the company. As well as you had some Blackberry issues for some part of those 13 quarters but when you look at that sort of revenue decline, what you think Celestica can do to help pull that model around and drive growth, is it different acquisitions or maybe almost deemphasizing parts of the business that are driving this thing down, just any thoughts on how you think you will get the revenue growth eventually would be helpful?
Craig Muhlhauser: Well let me say it is portfolio for us. I mean we are trying to remix the portfolio of this company to stabilize the outlook for revenue, to build the future around diversification away from our traditional IT enterprise markets while enriching those markets with the JDM. Difficult to measure it on a quarterly basis, we are moving in the right direction, we are out looking some very strong bookings as we look at the fourth quarter. I would like to say you have to bear with us here, we are trying to do this in the public markets but we are optimistic on the strategy but we got to get the portfolio right. We got to continue to execute and we got to make sure that we are winning business based on our differentiation and not using price as our primary lever.
Amit Daryanani - RBC Capital Markets: Fair enough, appreciate your thoughts, thank you.
Craig Muhlhauser: Thank you Amit.
Operator: Your next question comes from the line of Jim Suva from Citi. Your line is open.
Jim Suva - Citigroup Inc: Thanks very much and I have kind of two questions. One is kind of on fundamentals and then kind of the second one is on strategy. When we think about fundamentals for the company I believe one of your top customers maybe IBM and they have publicly talked about a lot of changes selling the XAB fixed (ph) business, selling the semiconductor business, and this basically deemphasizing hardware, can you help us understand that is IBM still a top customer which I think they are and if so the type of exposure or comfort level or how do you work through that? And then secondarily Craig, when you look back over your tenure at Celestica, maybe if you could just update us of the couple of things, I am sure you have done a lot of self pondering over this, couple of few things that you are most proud of and a couple of most things that you feel a little bit disappointing and maybe what the next leader you think could bring or their attributes. I mean I could just me independently I would say that definitely your focus on cost cutting and operational improvement and margins is very impressive but it seems like maybe the revenue wasn’t quite what you wanted for the growth or I don’t want to put words in your mouth but since you have done a lot of soul searching over the past few months I am sure you can kind of line us up with a few things you are proud of and a few things that you would like to see the next person stepping in the shoes to do?
Craig Muhlhauser: Okay, well what I will say Jim is the IBM is a tough customer. Celestica we had a strong relationship but I won't comment on the specifics of some of the questions that you raised regarding the portfolio. Suffice it to say very strong customer, performing in the higher value added segments of their business, and very, very good relationships. So we are very proud and fortunate to have them as a customer and we anticipate to continue that going forward. With regard to little bit about me, I think I would rather prefer to do that in a more private or personal session. But the bottom line here is this is strong company, we have worked to manage a very challenging transition, and we are doing a very good job of delivering on our commitments and we look forward to that continuing.
Jim Suva - Citigroup Inc: Okay, thanks very much.
Craig Muhlhauser: Thank you Jim.
Operator: Your next question comes from the line of Thanos Moschopoulos from BMO Capital Markets. Your line is open.
Thanos Moschopoulos - BMO Capital Markets: Hi, good afternoon. Craig can you expand a little bit more in terms of what you are seeing on the macro backdrop, I mean you mentioned the weakness on the telecom segment but other than that how would you say the rest of the business was tracking from a longer term pipeline and visibility perspective relative to three months ago?
Craig Muhlhauser: Well, the funnel of opportunities is building. The time to close those opportunities is challenging relative to maintaining the -- driving this conversation on a quarterly basis. But the opportunities are growing. I don’t think there is overall demand increases in terms of any of our end markets. I mean the diversified market is going to be driven by customers moving to an outsourcing model. The communications and enterprise markets are going to be driven by coming up with responses, solutions to this hardware commoditization trends and thus providing a higher value added offering to those customers that are faced with that trend. So I think it is aligning your strategy with the forces in the market. End market demand is going to be modest at best. It will be higher and diversified in the enterprise space. And if we are taking share based on your differentiation and your ability to execute and deliver on your promises. But we are bullish about the changes and we think they are aligned with the investments we have made in some cases five or six years ago.
Thanos Moschopoulos - BMO Capital Markets: And on the topic of differentiation, I mean clearly storage has been a bright spot based on your JDM efforts, where do you see other opportunities for your JDM capabilities that grow?
Darren Myers: Well we see higher levels of integration so as you see converted systems entering the marketplace. You had one of the analysts talk a little bit about disk drives and flash drives, they are going to be looking for new options there. So we see relevance across the entire stack if you will in the IT enterprise space. And then obviously in business models around supply chain collaboration, fulfillment, configured order capability. And then clearly our execution track record in markets like aerospace and defense are driving significant opportunities in healthcare and then our complex mechanical capabilities opening up new opportunities in the industrial space. So, I think we got a tremendous portfolio for the future. It will take time to materialize but we are trying to do it in a measured. A very disciplined basis and I think our margin performance speaks for itself, with free cash flow generation. And we are looking forward to continuing this as we look forward to 2015.
Thanos Moschopoulos - BMO Capital Markets: Great, thanks. I will get off the line.
Operator: Your next question comes from the line of Brian Alexander from Raymond James. Your line is open.
Brian Alexander - Raymond James: Okay, thanks. Good evening and just want to ask about the fourth quarter revenue guidance, if I look at it sequentially flattish, it is actually better than the last few fourth quarters that you have guided to. I think those were usually down low to mid single digits and on a year-over-year basis I know you are not growing yet but you are getting back toward being flat on a year-over-year basis. So do you think that you could grow revenue in 2015 given everything you know today and your comments about being selective and including lower margin programs, I know you are not guiding for 2015 but I just want to get a sense for whether you thought that was possible and just kind of directionally what segments are you confident will grow especially as we look at diversified which looks to be decelerating towards low single digits from previously in the double digits?
Craig Muhlhauser: Well, I mean is it possible. Yes, it is possible. The question is the visibility we have and then the number of moving pieces in terms of the timing of program ramps, the revenue realization associated with those ramps, the qualification times in some cases -- in some markets that it takes to qualify us. but we are winning business, we are gaining share in these markets, we are showing year-over-year growth this year. But the visibility of the impact of all of that I would say we need certainly is still no more than 90 days. But certainly the question is and the SKU on that. The question is then the SKU on that. But sure it is possible. I mean there is still three months in the year left to book new business. Obviously some of that can impact 2015 and we have got major opportunities that we are bidding and that we are competing for right now that could -- if they come to bear with revenue realization that we think they have, it will be possible.
Darren Myers: And I would just add to that Brian, I mean there are programs that we have won, that we plan to ramp next year and as Craig mentioned it is about revenue realization on those.
Craig Muhlhauser: And some of those programs we won this year but they have had a rather protracted, I would say revenue realization timeline because of the impact of some of the -- for example the IT systems and the conversions required to bring those programs online.
Brian Alexander - Raymond James: And just a follow-up, when you talk about being selective, are you suggesting or finding that you have to be more selective than maybe you were six to nine months ago because of the pricing environment or should we view this as kind of similar level of selectivity and that you really haven’t changed your discipline around return on capital thresholds nor is the pricing environment forcing you to walk away from more business?
Craig Muhlhauser: No, I think the pricing environment because of the nature of the pressure on all of our competitors for revenue growth has intensified. And we have to be not only more selective and more focused and targeted but we have to be more creative in the value propositions we are putting forward to create the kind of opportunities or scope that we would like to execute for those customers to make this business attractive. I mean manufacturing on its own is really something that does not look very attractive but our ability to bundle that and then create maybe a different playing field for us to play on is creating some real opportunities and I think JDM is a case in point but we have gone beyond that with some customers that have opened up some interesting opportunities but it is forcing a level of creativity and innovation that frankly is stepped up right now.
Brian Alexander - Raymond James: Okay, thanks for the thoughtful answers Craig.
Operator: (Operator Instructions). Your next question comes from the line of Todd Coupland of CIBC. Your line is open.
Todd Coupland - CIBC World Markets: Good evening everyone.
Darren Myers: Good evening Todd.
Todd Coupland - CIBC World Markets: A quick question on the margin and then I had one follow-up. So in the quarter the 39 (ph) did you say in the gross margin there was a reversal of a cost or something like that in the quarter and if there what was the impact?
Darren Myers: Yes Todd there was some provisional release 15 basis points in terms of margin impact in the quarter. The rest was mix and recoveries.
Todd Coupland - CIBC World Markets: So that and the rest is, okay, so if you normalized for that it would be -- you would have to take that off to 39 and then off to $0.26 well you didn’t adjust for that right?
Darren Myers: That's right we did not adjust for that.
Todd Coupland - CIBC World Markets: Thanks. And then I just wanted to understand a point on a previous question. The observation was made, there was potential in the current book of business to be at 4% margin if semiconductors were at breakeven, is that statement in fact correct.
Darren Myers: Yes Todd, the straight message is that today's mix with semiconductor at the gross margin level losing 2 million, if that was its target, it is about 50 basis point improvement for the company and so we are guiding a 3.5% so that takes you to your 4%.
Todd Coupland - CIBC World Markets: I see, and that is 2 million a quarter.
Darren Myers: Right now this quarter was 2 million at the gross margin level.
Todd Coupland - CIBC World Markets: Okay, and does that business, does semi need to recover to some sort of volume level or do you have plans in place to at least get that to break even so it is not a drag in 2015?
Darren Myers: Yes, as Craig mentioned it is a number of things both being commercial, a lot on the revenue realization, remember as we have talked about in previous calls. We have established new facility in (inaudible), the revenue level is below the two acquisitions we did due to some of the downturn in semiconductor. And then we are also going to be ramping programs and so we have got a cost associated with the ramping of programs and the excess capacity we have. So it is little bit about all of those. We are working very hard to get to the breakeven but frankly better than the breakeven at the gross profit level but it will take us until 2015 certainly.
Todd Coupland - CIBC World Markets: So, it will take you through all of 2015 to get it to breakeven.
Darren Myers: No, no, no it will take us through 2015 and beyond to get to our target margins in the semiconductor area. We expect to see, I don’t think you should expect to see a lot of improvement in the fourth quarter but certainly into next year you will see more improvement there.
Todd Coupland - CIBC World Markets: And sorry one last question if I could on the follow-up, the mix that you have in terms of your book of business for 2015, beyond if you were to exclude Sammy (ph) does it also point to stronger margins or is it about at the same contribution level as it is today?
Darren Myers: Hey Todd, we can't give guidance on 2015 now for the comments we have said before. But I think for now, the way to think of the company is continuing to be in the 3.5% to 4% range. I think for gross profit, as you look at our Q4 guidance, it is around 7.3% and unless there is some big mix changes or changes in volumes, I mean that is the world we are in right now.
Todd Coupland - CIBC World Markets: Great, thanks a lot.
Darren Myers: Okay, thanks Todd.
Operator: Your next question comes from the line of Naser Iqbal from Salman Partners. Your line is open.
Naser Iqbal - Salman Partners: Talking on what's the normalized operating margin, if it was 7.6% gross margin in the third quarter, Darren you said 150 basis points so with the margins on a normalized basis excluding the benefit be likely on 6.5%, is that what the normalized level would have been?
Darren Myers: Pardon me, I think that 150, I meant 15 basis points so apologies for that. No, I mean at 7.3% is where we are guiding so just think in that range, I apologize for that error.
Naser Iqbal - Salman Partners: Okay, so I guess my question was that if you had the 3.9% in Q3 and you are looking at 3.5%, just what is the I guess the important delta because your revenues are flat, is it just mainly the mix affecting the margins?
Darren Myers: Yes, it was both gross profit and SG&A. SG&A came in 3 million better and gross profit came in better from the mix recoveries as well. So I mean it is the combination of the two.
Naser Iqbal - Salman Partners: Okay, now that is really helpful. So I guess my question -- the follow-up question would be that if -- it is maybe too early for 2015 but given your cost structure today, it would seem that you should be able to maintain these mid 3% margins, even if your revenues were to flat line for the rest of four quarters in 2015. I mean, your margins should be relatively stable. So I am just trying to think like how should we be thinking about your margins versus your revenue growth because it doesn’t seem like you need to grow revenues like you did previously, like a year ago and two years ago?
Darren Myers: Yeah I mean, in the mid 1400s we are at current mix and everything subject to no other big changes, we are the 3.5%. So lot of it becomes revenue dependent and becomes the ramping of programs, timing, investments and the mix that we have. So it is hard to say every quarter but certainly if you maintained the current assumptions, you would run that out at 3.5%. Q1 is usually seasonally lower for us as a quarter from a revenue point of view so that will obviously impact margins as we go into Q1 but again we are not providing guidance for Q1. The visibility is just not there right now.
Naser Iqbal - Salman Partners: Right, but if you think about your OPEX level of $49 million to $51 million that you mentioned earlier, is there some leeway also such that if your revenues are not where you think they are going to be you can adjust that or is this like a fixed level?
Darren Myers: I mean we are always looking longer term on taking cost and usually the short term is relatively fixed but I think we have shown a great track record of performance on the margin, 17% year-over-year growth in our operating margins. So we will continue to focus on making the right decisions, the investments and our cash and margin performance.
Naser Iqbal - Salman Partners: Okay, that's very helpful. Thank you very much.
Darren Myers: Thanks Naser. One more question operator.
Operator: Sure, your next question comes from the line Amit Daryanani of RBC Capital Markets. Your line is open.
Amit Daryanani - RBC Capital Markets: Hey, just a quick follow-up I guess. I heard you talk about FX being able to benefit from the operating side to you guys on the labor side, but I am curious, how does this work for you guys on the revenue line, it seems to be a big topic these days, could you maybe just walk through if you have any FX issues on a revenue line especially in December quarter?
Darren Myers: No, I mean generally we don’t. Most are U.S. denominated. We did have some and part of our softness in Japan is the yen there which we have been experiencing all year but generally other than that most is U.S. dollars that doesn’t have that impact.
Amit Daryanani - RBC Capital Markets: Perfect. Thank you.
Craig Muhlhauser: Okay, I would like to thank everybody for the call and we look forward to continuing the dialogue and we are looking forward to 2015. So, thank you very much.
Operator: This concludes today's conference call. You may now disconnect.